Operator: Good day and welcome to the Western Union First Quarter 2022 Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brad Windbigler, Head of Treasury and Investor Relations. Brad, please go ahead.
Brad Windbigler: Thank you. On today’s call, we will discuss the company’s first quarter 2022 results, our updated financial outlook for 2022 and then we will take your questions. Slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. On our call today is our CEO, Devin McGranahan; and our CFO, Raj Agrawal. Today’s call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union’s filings with the Securities and Exchange Commission, including the 2021 Form 10-K for additional information concerning factors that could cause actual results to differ materially from forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com under the Investor Relations section. We will also discuss certain adjusted metrics. The expenses that have been excluded from adjusted metrics are specific to certain initiatives, but maybe similar to the types of expenses that the company has previously incurred and can reasonably expect to incur in the future. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I will now turn the call over to our CEO, Devin McGranahan.
Devin McGranahan: Thank you, Brad and good afternoon everyone. Thank you for joining us today to discuss our first quarter 2022 financial results and some commentary on our ongoing strategy development efforts. As I have reflected on my first 100 days as CEO of Western Union, I have come to more fully appreciate the significant potential of the platform and the magnitude of some of the changes needed over the next 2 to 3 years to really position the business for sustainable growth. Global uncertainty currently remains elevated due to inflation, supply chain and geopolitical issues like the war in Ukraine. Given the scale and maturity of our core business, disruptions like these can have significant negative impacts without any near-term means of mitigation. Russia was an important market for us and then the suspension of our services there will have an ongoing impact in our business. Given the business mix, including our significant digital white label partnership with Spare, Russia was also a very profitable market for us. While replacing this kind of highly profitable growing revenue will not be easy, the first couple of months of our strategic review have highlighted the overall strength of the brand and the franchise. And we have identified clear opportunities in both the core business in near adjacent products and markets to help us drive incremental growth over time. Furthermore, I believe that accelerating the organization’s focus on customer centricity should also over time meaningfully help elevate our performance. Due to the suspension of services in Russia and Belarus, we have revised our full year 2022 financial outlook on the expectation that we will not return to either country in 2022, which Raj will walk you through in greater detail next. Turning first to the financial results for the quarter – for the first quarter, results were largely consistent with our expectations, except for the impact of our suspension of services from Russia and Belarus and reflect the ongoing slow recovery in several of our important regions. Our reported revenues were $1.2 billion, and excluding contributions from Business Solutions, decreased 1% on a constant currency basis. This growth rate was negatively impacted by the suspension of services in Russia and Belarus in March and reflects the tapering of digital growth as we expected as the prior year benefited from a surge in demand for our digital offerings. Our retail business has not yet regained momentum and continues to be affected by macroeconomic headwinds as key parts of the labor market remain dislocated in many parts of the world. We continue to see softness, in particular, in Europe and in certain parts of Asia. Our domestic money transfer business also continues to be a drag on results. I believe that as we move to a wallet-based platform in many parts of the world, we will have the opportunity to revisit the role in the economics of domestic money transfer for our Western Union digital customers. Despite these challenges, our businesses continued to show resilience by generating over $230 million of operating profits. As we announced during the quarter, we closed on the initial stage of our divestiture of Business Solutions in early March and have received the entire proceeds from the sale, which strengthens our financial position as an input into our ongoing strategy review. Adjusted earnings per share, was $0.51 in the quarter compared to $0.44 in the prior period. The increase in adjusted EPS is primarily driven by higher operating profit margin and lower share count partially offset by a higher adjusted effective tax rate. In the first quarter, Business Solutions contributed $0.05 to adjusted earnings per share. As I discussed on the last call, we have begun an enterprise-wide strategy review process. My goal in this process is to create a plan that will enable the company to have stronger sustainable revenue growth by identifying new relevant business opportunities, evaluating ongoing investments within the existing business, identifying opportunities for performance improvement across all operations, and by creating alignment within the structure of the organization to successfully drive execution. This process is currently underway and I am pleased with the progress we are making. The team is rallying around the idea of Western Union being the branded leader in providing payments and other relevant financial services to migrants and mass-market consumers around the world. Working alongside many of our important distribution partners, our goal is to put our branded customer at the center of everything we do. The company is in the process of making a meaningful shift towards a more holistic customer relationship mindset, focused on acquiring customers, retaining customers and expanding customer relationship value. I look forward to sharing more in greater detail at our Investor Day, which we will host in New York City in the fall. Before then, I would now like to share a bit about what we are learning. Two of the concepts we are working on as part of the strategy process are accelerating our retail business and driving digital and omnichannel customer growth. At $3.3 billion of revenue in 2021, our retail business remains a large driver of our overall financial performance. Recognizing our significant market leadership position, we need to identify creative ways to maintain and grow our position. We also believe that the size and strength of our retail business can and will be a competitive advantage in an increasingly omnichannel world if we can deliver a world class integrated customer experience. While we have the privilege of having close to 14% principal share of the global cross-border remittance market in 2021, according to World Bank estimates, we have struggled to grow revenue at the same pace we have grown principal. To change this dynamic, the team has identified four key opportunity areas as part of the strategy development process. First, targeting opportunity. The team has been focused on identifying markets and corridors where Western Union has the opportunity to grow. For reference, of the top remittances markets globally, in over half we under-index relative to our global market share. Given that each market is different, we are identifying ways to tailor our marketing and product strategy to more tightly match the specific market requirements, which we believe will unlock some potential. As part of this process, we are developing new tools and insights that will help us drive performance at the individual corridor and even the neighborhood level. Second, improving the customer experience. I spoke of this on the last call. We remain convinced that investing in improving our end-to-end customer experience will have meaningful returns both in decreasing the percentage of incomplete transactions and improving overall customer loyalty. In the near-term, we are launching several new capabilities in key markets, including digital ID scanning via optical character recognition, e-receipts and QR-driven express checkout to drive convenience and experience for both customers and frontline associates. Third, retail marketing effectiveness. In 2022, we plan to spend nearly a quarter of our marketing budget focused on our retail customers. Over the past few years, much of our retail marketing spend focused on point-of-sale visibility in supporting our major key accounts with in-store messaging. By refocusing on driving highly targeted segment marketing, including seasonal promotions and grassroots initiatives for core migrant communities both on the send and the receive side, we believe we can influence consumer choice at the point of sale and strengthen our presence in important local markets. Finally, network optimization. We have historically enjoyed a competitive advantage due to the strength and breadth of our distribution network. Many of our competitors recognize this advantage and have worked hard over the years to develop their own networks. We believe the basis of competition is now shifting towards having the right locations in the right markets, having the right partners with the right incentives, and having the right mix of key accounts and independent agent locations in any given market. We plan to look at our network on a same-store sales basis and we will be driving actions that will improve our relative performance and high potential areas. As an example of this kind of network analysis and optimization, we are very excited to expand our relationship with the UK Post Office. We are pleased to announce the signing of the UK Post as a retail distribution partner ending a competitor’s exclusive retail relationship. This recent expansion of our partnership builds on our current digital relationship and will add Western Union services in nearly 4,000 additional retail locations, which nearly doubles our network in the country. The United Kingdom is one of the largest outbound markets globally. We believe this partnership has the potential to improve our position in the UK. Adding the UK Post locations will drive a large network upgrade in markets outside the London Metro area, where the growth in foreign-born population is now faster than it is in London. Regions outside of London account for 65% of the migrant population, but only 43% of our current retail volume in the country. We expect the signing to improve our overall market position, filling in gaps in smaller cities and feeding our customer acquisition engine in both retail and digital for years to come. The environment for digital customer acquisition has become increasingly competitive. During the COVID-19 pandemic, we saw very attractive per customer acquisition costs in Western Union digital business as consumers were driven to digital channels. In 2021, our average customer acquisition costs began to rise with the marginal cost of acquiring the next customer meaningfully higher than what we saw in 2020. As we drive an organizational focus on acquiring customers, retaining customers and expanding customer relationships, the cost of customer acquisition becomes a key performance metric for the company. We also believe that we have a competitive advantage over our pure digital players given the strength of our brand and the sheer scale of our retail customer base. We are exploring the idea that there is a natural escalator between our retail business and our digital business and that in fact many of our digital customers are omnichannel in their usage of our services. For reference, of the more than 9 million branded digital customers in 2021, 30% started their relationship with Western Union at a retail location and roughly 15% of them did at least one transaction at a retail location last year. When we look at our customer data, our omnichannel customers who engage with us both digitally and in retail, generated over 2x the revenue per customer in 2021 compared to either retail-only or digital-only customers. Given these facts and working closely with our distribution partners, we will begin to better integrate both our experiences and our messaging across our channels. According to internal survey data, over the past couple of years, we have lost a significant number of retail customers to digital competitors as customer preferences have evolved. By increasing our own customers’ awareness of Western Union’s compelling digital and omnichannel offerings, we believe we can keep more of those customers within the Western Union franchise. In further accelerating our digital and omnichannel growth, we continue to focus on enhancing our top of funnel conversion and increasing retention. We have successfully launched our next-generation digital transaction-based platform in Canada. We are seeing an increase in conversion from the improved user experience and we continue to – and as we continue to optimize the platform, we expect to achieve approximately 3 points of conversion upside. We plan to launch this new platform in Australia in Q2 in many large market European markets in Q3. Longer term, replatforming our experience around digital wallet has the potential to create multiple ancillary revenue streams outside of our core remittance business and fundamentally change the relationship that we have with our customers. As an industry leader, we have a large one-time use contingent in our customer base, thus providing us the opportunity for cost effective customer acquisition if we can expand the relationship beyond this first interaction with Western Union. Building and growing a high-performing team will be critical to capturing these kinds of opportunities. I believe in the benefits of diverse thinking and experiences and we have strengthened our effort to bring more diverse leaders into our organization. I am pleased to announce the addition of Andrew Walker as our new Chief Operations Officer, joining us from USAA. Ramya Narayanan will be our new Chief Strategy and Business Development Officer. She is joining us from American Express. And Joaquin Alemany as our new Global Head of Digital Banking joining us from McKinsey & Company. Before I turn it over to Raj to discuss our financial results in more detail, I would like to highlight a few notable partner wins and market expansions. First, I am pleased to announce the next two markets for our digital wallet and banking path. We have opened our service this morning in Poland and Italy on a friends and family basis and plan a broader launch for these countries in early June. Our plan is to get the product into multiple countries and corridors as quickly as possible in order to more fully capture the benefits of our own network effect. I would expect as the summer on, we will announce additional markets across Europe and potentially some markets outside the European Union. Next, I would like to highlight a couple of expansions to our account payout network, which as you know, supports one of the fastest growing parts of our business. Expanding payout options and giving customers choice around the most convenient delivery method for them is core to the customer-centric mindset we are building here at Western Union. I am excited today to highlight the expansion of our Visa Direct partnership. We originally launched the partnership in select European markets to 24 received countries. Today, we have now brought that partnership to our retail customers in the United States and have a go-live with our digital platform in early Q2. Western Union’s U.S. retail customers can now send money in near real-time direct to card to Colombia, El Salvador, Jamaica, the Philippines, Romania and Thailand. Our goal with this partnership is to provide convenience for our consumers and to offer another cross-border account payout option as they look to move money to their loved ones around the globe. Direct to card complements the account payout network we have already developed and expands customer choice. Continuing with the real-time payout fee, during the quarter, we have also activated real-time account payout to Paytm wallets in India. India was one of the largest inbound remittance markets in the world, with over $87 billion in inbound remittances in 2021 according to recent estimate from the World Bank. This partnership will enable Western Union customers from the UK, Canada and Australia to send money directly to millions of Paytm wallets. We anticipate expanding the service to the U.S. in the second quarter. Lastly, I would like to talk about a small minority investment we made in the quarter in earned wage access company called Wagestream. We believe Wagestream’s earned wage access product is compelling, as it provides a technology solution that puts employees in control of their earned wages and the timing of payout. We believe our customers will have a high affinity towards this product and have begun to explore ways in which we can work closely with Wagestream to bring this product into our ecosystem. Thank you for your time. And I would now like to turn the call over to Raj to discuss our financial results in more detail.
Raj Agrawal: Thank you, Devin and good afternoon everyone. Today, I will discuss our first quarter results and 2022 financial outlook. First quarter revenue of $1.2 billion decreased 4% on a reported basis. Excluding the contribution from Business Solutions, our revenues decreased by 1% on a constant currency basis. Currency translation net of the impact from hedges reduced first quarter revenues by approximately $33 million compared to the prior year period. In the C2C segment, revenue declined 5% on a reported basis or 3% on a constant currency basis. B2C transactions were down 4% compared to the same period in the prior year, while digital money transfer transactions increased by 4% in the first quarter, which was offset by a decline in retail money transfer. We saw good growth in our digital money transfer transactions in the first 2 months of the year. In March, we suspended our business in Russia, including our Spare partnership, which slightly impacted our growth rate for the quarter. Total C2C cross-border principal declined 3% on a reported basis or 1% constant currency driven by retail money transfer, partially offset by digital money transfer. Digital money transfer revenues, which include our branded digital product and digital white label partnerships, increased 5% on a reported basis or 6% constant currency. Moving to the regional results. In the first quarter, North America revenue declined 1% on both a reported and constant currency basis on a transaction decline of 6%. Revenue decreased as we continued to see softness in retail money transfer as well as an expected decline for the U.S. domestic business. Excluding U.S. domestic, the business would have grown led by growth in U.S. to Mexico. We are pleased with the continued momentum we are seeing at Walmart in the U.S. and we expect this to be a more meaningful contributor to full year results. Revenue in the Europe and CIS region declined 14% on a reported basis or 10% constant currency on transaction declines of 7%. The decline was driven by continued softness in the retail business and the impact of high digital growth in the region last year. The suspension of services in Russia and Belarus occurred in late March and had some impact to our results in the quarter. France, Germany and the United Kingdom were larger contributors to the revenue decline in the quarter. Revenue in the Middle East, Africa and South Asia region grew 2% on a reported basis or 3% on a constant currency basis, while transactions increased 5%. The digital business continues to drive revenue and transaction growth in the region offset by softness in retail. Our digital white label partnership with STC continued to generate solid performance. At a country level, revenue growth in Saudi Arabia was partially offset by a decline in Qatar. Revenue growth in the Latin America and Caribbean region was up 2% or 5% constant currency on transaction growth of 2% as the region continued to grow over COVID-19 impacts. We saw solid revenue growth from Mexico, Colombia and Nicaragua. The driver of the spread between transactions and constant currency revenue growth resulted from mix factors in the retail business. Revenue in the APAC region declined 6% on a reported basis or 3% on a constant currency basis, while transactions declined 13%. Softness in the region was predominantly due to closures related to the Omicron variant in key send markets like Australia and Japan. The spread between revenue and transaction declines were largely driven by the Philippines business. As previously announced, the first stage of the Business Solutions sale was completed in March and we received the full proceeds of more than $900 million. The second closing is expected to be completed in the back half of the year subject to regulatory approvals. As a reminder, until the second close, Western Union will recognize revenue, operating profit as well as contractual payments to the buyers recognized in other income. The net result is expected to have no impact on Western Union’s net income over the period between the first and second close apart from the remaining expected gain related to the European business transferring at the second closing. Other revenues represented 6% of total company revenues and increased 8% on a reported basis compared to the prior year period. The increase was mainly driven by higher revenue from our Argentina bill payments business. Other revenues primarily consist of retail bill payments in Argentina and the United States and retail money orders in the U.S. Turning to margins and profitability, the consolidated GAAP operating margin in the quarter was 20.5% compared to 19.2% in the prior year period. Adjusted operating margin, which excludes Business Solutions contribution and exit costs related to Russia, Belarus and Business Solutions in the current period and divestiture and acquisition costs in both periods was 21.8% in the quarter compared to 19.3% in the prior year. Prior year margin was negatively impacted by 30 basis points from Business Solutions. The year-over-year increase in adjusted operating margin was primarily due to the timing of investments, product and channel mix and changes in foreign currency. Moving to segment margins. Note that the divestiture and acquisition costs are included in other operating margin for both the current and prior year period. In the first quarter of 2022, C2C operating margin was 20.7% compared to 19.6% in the prior year period. The increase in the operating margin was driven by the timing of investments, channel mix and changes in foreign currency. Other operating margin was 31.7% compared to 22.6% in the prior year period, primarily due to increased revenue, partially offset by an increase in the divestiture and acquisition costs. The GAAP effective tax rate in the quarter was 19% compared to 10.4% in the prior year period. While the adjusted effective tax rate in the quarter was 13% compared to 10.5% in the prior year period. The increase in the GAAP effective tax rate was primarily due to the sale of Business Solutions, discrete benefits in the prior year period, not recurring in the current period and the suspension of our services in Russia and Belarus. GAAP earnings per share or EPS was $0.74 in the quarter compared to $0.44 in the prior year period, while adjusted EPS was $0.51 in the quarter compared to $0.44 in the prior year period. The increase in GAAP EPS reflects partial recognition of the gain on sale of Business Solutions, while the increase in adjusted EPS is primarily driven by higher operating profit margin, lower share count, partially offset by higher adjusted effective tax rate. In the first quarter, Business Solutions contributed approximately $0.05 to both GAAP and adjusted earnings per share. Turning to our cash flow and balance sheet. During the first quarter, our business generated $200 million of operating cash flows, and we returned over $240 million to shareholders through a combination of dividends and share repurchases. The outstanding share count at quarter end was 387 million shares, and we had $850 million remaining under our share repurchase authorization, which expires at the end of 2024. Capital expenditures in the quarter were approximately $30 million. At the end of the quarter, we had cash and cash equivalents of $1.3 billion and debt of $2.5 billion. Moving to our outlook. Today, we provided an updated financial outlook for 2022, reflecting the suspension of our operations in Russia and Belarus and related impacts. Our current outlook presents our best view at this time but as Devin discussed earlier, uncertainty remains elevated globally. GAAP figures reflect an expected partial year of Business Solutions ownership, including contractual payments to the buyers representing profits between the first and second closings, associated divestiture and acquisition costs, exit costs and an estimated pretax gain of approximately $270 million for the full year of which $151 million were recognized in the first quarter with the remainder to occur in the second half of 2022, subject to regulatory and working capital adjustments. We also expect to incur incremental divestiture costs during the remainder of 2022 as we continue to separate Business Solutions. Adjusted revenue growth and operating margin exclude contributions for Business Solutions. In addition, adjusted operating margin also excludes associated divestiture and acquisition costs as well as exit costs related to Russia, Belarus and Business Solutions. The adjusted effective tax rate and EPS excludes the expected gain on sale, divestiture and acquisition costs and exit costs. We now expect GAAP revenue to decline approximately 9% to 11% compared to mid-single-digit decline previously expected in our February 10 outlook for 2022. The change primarily reflects our exit from Russia and Belarus and a stronger U.S. dollar. Embedded in our GAAP revenue outlook, we have included approximately $50 million of revenue from Business Solutions for the remainder of the year. We now expect adjusted constant currency revenue growth of a low single-digit decline compared to our previous expectation of flat to low single-digit increase. The change reflects our exit from Russia and Belarus. The adjusted revenue outlook excludes the results of Business Solutions in both 2021 and 2022. Our GAAP and adjusted operating profit margin is now expected to be approximately 20% compared to our previous outlook of a range of between 21% and 22%. The decrease in our outlook primarily reflects our exit from the Russia and Belarus markets, which were higher-margin businesses due to high digital white label revenues in Russia and a lower overall cost structure. The anticipated GAAP effective tax rate is now expected to be approximately 21% compared to our previous expectations of a high teens range. The increase reflects our updated assumptions on tax related primarily to the gain from the sale of Business Solutions. We continue to expect the adjusted effective tax rate to be in the mid-teens range. The GAAP EPS outlook was revised to a range of $2.13 to $2.23 from a previous range of $2.38 to $2.48. The change primarily reflects the company’s exit from Russia and Belarus as well as a revised tax assumption for the gain on sale of business solutions. Adjusted EPS for 2022 is now expected to be in a range of $1.75 to $1.85 compared to the previous outlook of a range of $1.90 to $2. Thank you for joining our call today. And operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question comes to us from Bryan Keane from Deutsche Bank. Please ask your question.
Devin McGranahan: Hey, Bryan.
Bryan Keane: Hi, guys. Thanks for taking my question and Devin, thanks for the strategy update. You talked about when you’ve done your analysis, you guys are losing some customers to the digital channels. Do you guys need to be more price competitive in digital, do you think? And you talked a little bit about revisiting the digital wallet in the domestic transactions, thinking about what that might mean and then what it means for all of digital going forward.
Devin McGranahan: Bryan, as you know, our digital business is highly intertwined with our retail business. So, over 80% of our digitally originated transactions end up in a retail cash payout. We believe we maintain a very competitive position both because of our network and because of, obviously, the transparency in pricing in digital. So I would anticipate we will continue to maintain the strategy that we’ve been pursuing. Raj, I don’t know if you want to add anything. And then I’ll come back to the domestic money transfer on.
Raj Agrawal: Yes. No, I would just add, Bryan, that it’s really more about making sure our customers are aware of our digital offerings and making sure that they know how to use our services rather than going to your competitor. And also, I would just say from a pricing standpoint, we haven’t really seen any significant pricing pressure in our digital business. We’re always moving pricing up and down depending on local market conditions and what’s required. But on a global macro basis, the yields have been relatively consistent over the last several quarters.
Devin McGranahan: On the domestic money transfer side, as you know, this has been a business that for many years as the utility of a retail cash payout network within an individual country has diminished. We continue to have a core customer base that values the service, but it is not a growing customer base. As we move to being able to enable, as we have done now in Germany and Romania within country account to account for free, we believe it creates a model that generates more interaction, higher engagement, higher retention and eventually leads to cross-border money movement. So we will come back at the strategy time and talk about what the implications of our platform and moving to a more wallet-based ecosystem in important markets, but we see it actually as a customer retention and engagement opportunity in domestic money transfer.
Bryan Keane: Got it. And just a follow-up for Raj. I understand you outlined the Russia and Belarus impacts. What are some of the other kind of non or other related or not directly related to those countries, but just trying to figure out the impacts to other pieces of Europe that might be impacting the business going forward. A lot of concern about potential recession in Europe. And just some of your thoughts on that would be helpful. Thanks.
Raj Agrawal: Yes. I mean, look, on – you’re right, Bryan, there are some other impacts that we may not even have full visibility to today. We saw some softness in the European region, as you can see in our results. Russia and Belarus are about 4% of our revenues or so on an annualized basis, including some other CIS market impacts. And for three quarters of the year, that’s about 300 basis points of impact for our revenues. That’s really the change that we’ve made in the outlook. But yes, look, that’s our messaging around the global macro environment continues to be quite volatile, and we will have to see how things really play out. We’re giving you our best view today, but certainly, things could change. And we don’t really know the follow-on impacts and how things might play out the rest of this year, but it’s certainly uncertain to some degree.
Bryan Keane: Great. Thanks for taking the questions.
Operator: Our next question comes to us from David Togut from Evercore. Please ask your question. 
Devin McGranahan: Hey, David.
David Togut: Yes. Thank you very much. If you could dig into the outlook for the digital money transfer business a bit, Raj, I noted the slowdown that you called out in Q1 tied to Russia, Belarus, – how do you see the digital business growing for the balance of this year? And then is there an opportunity to reaccelerate it in 2022, 2023?
Raj Agrawal: Yes, it’s a very good question. First of all, we’re really optimistic about our long-term prospects on the digital business. We feel very good about the things that we’re doing this year and the customer acquisition strategies that we have. So that – the long-term picture continues to be very good. This year, as you mentioned, certainly, in the first quarter, we had expected the digital business to be a little bit softer given the mid-40% range growth that we had in the first quarter of last year. So that was expected. Further to that, because we have now exited the Russia and Belarus market, we have about $70 million of digital revenue that’s related to those two markets. That’s made up of our Sparebank relationship as well as wu.com. And we’ve also seen some softness at least this year in the European market. So this year is sort of a transition year because of some of the unique things that are happening. But long-term, we feel very good about the prospects, especially with the digital banking initiative and the account-based relationships that we’re trying to create globally.
David Togut: Understood. And just as a follow-up, Devin, if you could give us your updated thoughts on capital allocation priorities, especially how you might deploy the proceeds from the sale of Business Solutions?
Devin McGranahan: Thanks, David. We continue to remain in the same philosophical outlook that I expressed on the last call. We have a very disciplined approach to capital allocation and to ensuring returning capital to our investors remains a top priority. We continue to see strong performance on the business, on the cash generation side and the increment that we received I think strengthens the coffers as we go into the strategic planning process, and I look forward to sharing some of the ideas we might have for that when we get together in the early fall.
David Togut: Understood. Thank you.
Devin McGranahan: Thanks, David.
Operator: Our next question comes to us from Tien-tsin Huang from JPMorgan. Please ask your question.
Tien-tsin Huang: Hi, thanks so much. Good to speak with you all. I just wanted to follow-up with Bryan’s question here on the macro and what’s changed in the outlook beyond Russia and Belarus. I know it’s really difficult to call. But I know, Raj, you talked about, right, FX volatility sometimes can be helpful. And then same with oil, right? Oil prices are sustainably higher, you could see more migration to Gulf states. And I know that there is a little bit of a lag there. I’m just trying to think about the puts and takes here and what you’ve assumed and what we should be paying attention to?
Raj Agrawal: Yes. For the most part, Tien-tsin, the primary change in our outlook is related to the specific closures related to Russia and Belarus. That has obviously some profit impact as well. In our GAAP revenue outlook, we’ve also tried to adjust for the current level of foreign exchange rates because they have moved, as you’ve seen quite dramatically in such a short period of time. On your other components, you’re right that the oil price might have a positive impact at some point in time, but there is a lagged effect to that. We’re not going to necessarily see the benefits of that this year in the Gulf markets. So we will have to see, but that could potentially move more migration into that region. And then to the extent that we have more specific moves or short-term moves in currency, it can certainly impact customer behavior in the short-term. And we’ve seen that in different parts of our business where if the peso weakens, we’ve seen an influx of business into Mexico, for example. So we’re certainly watching for that. Although we’ve not built anything specific related to these factors into our outlook, it’s mostly related to Russia and Belarus. And largely first quarter has come out to roughly what we had expected other than the impact of Russia and Belarus, maybe a little bit softer. But overall, we’re about where we thought we would be at this stage.
Tien-tsin Huang: Thank you for that. And maybe if you can, Devin, for you just – and I know you don’t want to – don’t want to sell tickets at the Investor Day in the call, but I just wanted to ask about the cost of the accelerating retail and then driving digital and omni user growth, if that all makes sense with. How about the cost of doing that or maybe the sense of urgency to do it sooner rather than later, any thinking there?
Devin McGranahan: As we have started down the path as I said in my prepared remarks Tien-tsin, we’re not waiting for the event in the fall to get moving. As I commented on the last call, one of the parts of the work that isn’t in my prepared comments is really thinking about our nearly $4 billion cost base and how do we appropriately allocate that to priorities that can help drive revenue growth. And this idea of prioritization and focusing on those, as you heard me say about accelerating improvement in our point-of-sale experience, accelerating and reallocating in some cases, marketing dollars to drive behaviors at the transaction level. That is work that has already begun within the current cost base and within the constraints of the guidance that we have provided. And I would expect to continue it with the idea of being able to, as we have guided, ramp in the back half of the year.
Tien-tsin Huang: Great. Thank you for the thoughts.
Devin McGranahan: Thanks, Tien-tsin.
Operator: Our next question comes to us from Ashwin Shirvaikar from Citi. Please ask your question.
Devin McGranahan: Hi, Ashwin.
Ashwin Shirvaikar: Hi, thank you for taking the question and all the detail. I guess just to follow-up on Tien-tsin’s question there with regards to the two pieces, two focus areas. And I appreciate that this has to happen at a certain pace. But could you talk a little bit more generally about – once you’re done with this, what does the end state look like, if that picture is emerging yet, if you could talk about that?
Raj Agrawal: Sure, Ashwin. We are in process. And as I commented on the last call, it has been a process that we’ve involved the top 100 plus executives here at Western Union in, in order to make sure that we take advantage of all of the institutional knowledge and get broad-based engagement. So you’re right, it’s not an instantaneous process. As I commented at the beginning, we are gravitating towards this idea of using the strength of our platform and the 100 million-plus relationships that we enjoy to, in essence, expand our purview, putting our branded customer at the center of everything that we do, bringing to that customer a broader range of products and services in partnership any cases with our distribution to enable us to expand relationship value. So we have the ability and the permission from our customers to do more than we’re doing, and we seek to find ways that make sense for us and for those customers to be able to be that provider for both our send customers and frankly, our received customers in which we have a lot of strength with our brand and our customer base in many parts of the world. So, that is kind of a top level view of where we are headed. And we will continue to flesh that out, both in terms of the magnitude of the customers, the nature of the products and services and the pace at which we believe we can begin to, in effect, broaden relationships outside of transactional-based cross-border money transmission. Is that helpful?
Ashwin Shirvaikar: Yes, that’s helpful. And I appreciate you trying to navigate a difficult discussion given the uncertainties. Can I ask maybe – as you reflect on your first 100 days, what your impression is of Western Union’s existing, say, for example, CRM system, the tightness of its customer relationships, of its agent relationships, things like that. And then particularly attractive little number here was there is opportunity to engage high-value omnichannel customers 2x revenue per customer. If you could break that down of maybe 2x has to come from some place. So, a little bit more detail would certainly be helpful.
Devin McGranahan: Certainly. Look, most of what I have begun to communicate and certainly what we have been exploring reflects my commentary that it is the strength of the assets that I inherited. To your point, the quality of the distribution have had the privilege to go out into a number of markets and meet with some of our most important partners to talk to them about what does it mean to be a player in today’s rapidly evolving world. And how does Western Union help them evolve and serve their customer across both their retail businesses and in many cases, digital efforts in combination with us and in other ways. So, the strength of the brand, the distribution, the partnerships in that distribution and frankly, the nature and trust of the relationships that we have with our customers is the foundation upon which we are building. The things I have been talking about are accelerating our ability to deploy technology. So, when you talk about bringing – when I talk about bringing new capabilities to our point of sale that allows us to recognize customers, to reduce transaction time and to ensure a greater percentage of completed transactions. Those are investments in platforms we already have, and it’s an acceleration of things that were underway, much like bringing the digital wallet and the banking application into more markets quickly. That was a platform that was here when I got here, and we are merely just accelerating its delivery across Europe and then soon outside of the European Union. So, the assets, the underlying capabilities in the platform are robust, and they are what we are building the strategy on. The increment that we are talking about is how do we accelerate and how do we wrap them together in a more integrated fashion, particularly around this idea of the customer as the center of what we are trying to do. To your point about the omnichannel customer, part of what we want to do is encourage more of our customers to be both a digital customer with us and a retail customer. What you see in that doubling of value is, in fact, a customer that does more frequent and larger transactions because the convenience that we have provided, both by offering a digital solution and a retail solution has enabled them to be one of our better if not best class of customers. So, our view is if we offer a world-class integrated experience that recognizes customers across channels and recognizes and rewards that kind of behavior through our loyalty program, we can attract and retain those high-value omnichannel customers in a way that our competitors will have a hard time replicating who are more focused on one channel or the other channel.
Ashwin Shirvaikar: Thank you for that detail. I appreciate it.
Operator: Our next question comes to us from Darrin Peller from Wolfe Research. Please ask your question.
Darrin Peller: Hey guys. When we think about the potential transition of more of your users from the retail side to the digital side over the course of the next probably couple of years, I guess I wonder, number one, if there truly is an ability to accelerate that, that I know you have indicated could be a part of the strategy and what those tactics are going to be to do so? And then where the expenses are going to come from to invest in that initiative to do so just given that I think that you look at the high-value nature of these customers is pretty attractive to expedite if possible.
Devin McGranahan: Darrin, there is two underlying things that I think are important. One is the ability for us to leverage the retail franchise and the strength of our brand, to enable customers and increasingly, customers have a preference for actually. And we have even seen some of this post-COVID with people who were pushed into digital because retail was not an option, migrating into this omnichannel event because they have gotten comfortable with digital in some instances, but there are many instances in which a retail transaction is either more convenient or more comfortable for them. And so really, the first pillar is, how do we create the opportunity and the experience that enables a customer to seamlessly choose with Western Union, how they want to interact, when they want to interact, the way they want to interact. And so we are spending a lot of time on making sure that customer profiles move seamlessly between channels, that our technology can recognize the customer wherever they show up, whenever they show up. And so that, we believe, if we can enable, will allow us to not only attract, but more importantly, retain those customers that become those high-value omnichannel customers. A lot of the technology and/or the investment that is in place today is capable of enabling it if it’s a goal in which we are trying to pursue. So, we are directing existing spend from existing technology budgets and existing marketing budget to just a more integrated approach and a more integrated message to our customers than maybe we have been doing in the past. We will see how that works here in the short-term. And then obviously, if it’s going to require more than that, we will be back to you in the fall with a plan that says, it’s going to take more than what’s currently in our existing run rate in order to accelerate this in a meaningful fashion. But the goal is, in fact, to accelerate it and to enable us to drive and grow our digital business in a differentiated way from merely acquiring digital customers in the traditional channels of Facebook, Twitter, Google, etcetera.
Darrin Peller: Alright. One quick follow-up, I mean in the initiatives around digitization extend, obviously, beyond money transfer, as you talked about. And so if you could just give us a little bit more color on the progress being made there in terms of incremental engagement with these users in just more ways than obviously C2C.
Devin McGranahan: So again, this is a two or three-step process, Darrin, right. First, as we have talked about moving from the transaction-oriented relationship we have historically had into more of an account-based relationship. So, the underlying idea between the wallet and the bank is to enable us to establish an account-based relationship with a customer that allows us to have ongoing interactions and just as I was talking about with DMT, an ongoing model for them to be as part of Western Union outside of that singular cross-border money transaction. With that comes the ability to have stored value in the wallet, accessing products and services like debit and interchange. You also heard in my prepared comments, we are beginning to explore ancillary products and services that are well suited to our customer base such as earned wage access so that we can begin to enable those. So, that customers have yet one more reason to interact with and benefit from Western Union’s products and services. So, when we come back, we are going to lay out basically an ecosystem of products and services that we see as our evolution, both in terms of how we develop from the transaction-based relationship we have to an account-based relationship to additional products and services in that account-based relationship.
Darrin Peller: Thanks a lot guys.
Operator: Our next question comes to us from Ken Suchoski from Autonomous. Please ask your question.
Ken Suchoski: Hi, good afternoon everyone. Thanks for taking the questions. I just wanted to ask about the reduction in EPS guidance. I mean it makes sense that you are taking out Russia and Belarus from the revenue guide. But the impact to EPS came in a bit higher than we expected, and I appreciate you sizing the $70 million in revenue from SpareBank and wu.com. But I am just curious, what’s the incremental margin that the Russia, Belarus business is coming off the P&L? And then within that, what’s the margin on the partnership side just to help us with the modeling there?
Raj Agrawal: Yes. We – Ken, we haven’t given the specifics of the exact margins. But just think about 60% of our costs are variable in nature. So, that gives you a sense of the contribution margin overall for $1 of revenue for the entire company. Russia is higher than that because the digital white label partnership, we are a processor. We are just moving money for somebody else. And so we have a much higher margin in that digital white label business. And then wu.com only is paying out commissions on one side of the transaction and most of its being paid out within the CIS markets, where we have – typically, have a lower commission structure for the business. And then we just have an overall lower cost structure. So, it does have a little bit more impact than you would normally see for other parts of our business, and that’s why you are seeing the flow-through to EPS.
Ken Suchoski: Okay. That’s really helpful. And then maybe just for my follow-up question. Just as economies opened back up, we get back to normal, I was curious if you could talk about the trends you are seeing on the digital side both from a user growth perspective and then also from the engagement side from those users? Are they reducing the number of sends, or are they going back to the retail channel at all? Just curious to get your thoughts there? Thank you.
Raj Agrawal: Yes. I don’t have the specifics of that, Ken. What we are seeing more in the digital business right now is – we had very strong growth in the first quarter of last year, and so we are seeing the impact of that. I would say that the underlying health of the business continues to be very good. Obviously, during the pandemic and when things were closed in a physical sense, we had a significant influx of new customers and customers trying to visit us, but that level of activity certainly is not there anymore. But we are doing a lot of other things in terms of customer acquisition, product development and other things to try to drive that customer growth again.
Devin McGranahan: Ken, I only have one quarter on this movie, but in looking at how we think about the business, which is a combination of prior customers returning, the activity of those prior customers and the new customers coming to us, in the first quarter, we had slightly better prior customer returning than we had expected or had modeled for the first quarter, but we had slightly worse transaction per customer than we had modeled. So, we are seeing – and I guess, in using your words, we are seeing slightly higher engagement, but slightly lower activity than was modeled and planned for the first quarter, which largely resulted in awash in terms of the expectation of the performance of the business.
Ken Suchoski: Got it. Okay. That makes sense. Thanks for all the detail, really appreciate it.
Operator: Our next question comes to us from Rayna Kumar from UBS. Please ask your question.
Rayna Kumar: Good evening. Thanks for taking my question. What characteristics are you looking for to determine markets and corridors that Western Union has opportunity to grow? And contrarily, are you seeing areas that no longer make sense for you to have agent locations?
Devin McGranahan: The definitive answer to the last question is no. We have not identified any markets in which we don’t believe we should have a presence. The first one is an interesting analysis the team is working hard on. And there are a couple of dimensions and you heard me comment on one or two of them. One is obviously important markets where for whatever reason, historical or otherwise, we are underweight. We have less than our normal or what we would expect presence. And so the team is spending time trying to understand in those important markets, what would we have to change, to change our ability to either compete or to change our network or to change our product to be more applicable and thus allow us to grow in those markets in which we are underway. The second thing, and you heard me talk about it is this notion of the relationship between our send and our received markets. And you heard me talk a little bit about thinking about our network analysis and thinking about the interaction effects of where we have strong send markets, how do we leverage those and received markets. And in received markets, how do we leverage our relationship potentially more broadly than just the cash out. So, we are looking at the dynamics of customers, customer transactions and corridors to allow us to understand where we might have opportunity.
Rayna Kumar: That’s very helpful. And then as a follow-up for our models, are you still expecting operating margins to be higher in the second half versus the first half? Maybe if you can just help us out with timing of investment spend through the quarters.
Raj Agrawal: Yes. Hi Rayna, this is Raj. I think the world has changed a little bit because of what happened with Russia. Obviously, we also had some timing of spend that helped margins quite a bit in the first quarter. So, that’s going to – we are going to retime the favorability, if you will, to the next three quarters, but we will also see a negative impact from the Russia and Belarus closures, mostly in the third – the following three quarters. So, we will not likely to see the same kind of patterns that we had originally expected.
Rayna Kumar: Thank you.
Operator: Our next question comes to us from James Faucette from Morgan Stanley. Please ask your question.
Devin McGranahan: Hi James. Hello James.
Operator: Our next question comes to us from Vasu Govil from KBW.
Raj Agrawal: Vasu?
Operator: Our next question comes to us from Jason Kupferberg from Bank of America.
Devin McGranahan: Hello Jason.
Jason Kupferberg: Hi, can you hear me?
Devin McGranahan: Yes. We can.
Jason Kupferberg: Okay. Great. So, just to build on your comments, Raj, earlier about the digital revenue exposure in Russia, Belarus, I mean I guess where does that leave you just in terms of your thought process on overall digital revenue growth for the year? I think you had been targeting double-digit growth there. Obviously, Q1 was the toughest comp and you were down there in the single-digits. But do you think you can still grow it double-digits even with the Russia exit?
Raj Agrawal: We are not planning for double-digit growth anymore, Jason, given what’s happened with Russia because that is a $70 million cut of revenue mostly in the next three quarters, right. So, I think we are going to have moderated growth this year. But I think the most important thing is that the underlying characteristics and the things that we are doing to build that business haven’t really changed. So, our strategy around digital hasn’t really changed. And we are continuing to, as you have seen open up more digital banking type markets as well. So, more to come in 2023, but this year is going to be more muted in terms of overall growth for digital.
Jason Kupferberg: Understood. Just a quick follow-up. How does the pipeline look just in terms of other big kind of agent opportunities? I mean, obviously, there is only so many Walmarts out there, but would just be curious how the pipeline looks like because it sounds like Walmart is going well.
Raj Agrawal: Yes. We are very pleased with Walmart. You have heard some of the things that – you have heard about the UK Post. We have a number of other digital partnerships, some that we think could be large in nature that we have just not announced yet. We will announce them when they go live, and they are in different regions of the world. There is something in Latin America that’s coming soon and another one in the Middle East. So, there are partnerships that have been signed and we are just waiting for them to go live. So, we are very excited. And I don’t know, Devin, if you want to add to anything from your perspective as well?
Devin McGranahan: No, the only thing I would add, Raj, is as evidenced in the prepared comments, large agents and large digital white label partnerships in the right parts of the world that complement our existing branded operations and our existing distribution network are of great interest to us. And so the team is continuing to prospect and look for those kinds of momentum moving events that we could be excited about putting our shoulder behind it. I feel good about the pipeline of those, and I look forward to sharing continued announcements of new partnerships as these calls go on.
Jason Kupferberg: Thank you.
Brad Windbigler: Thank you. Operator, we will end it there.
Operator: This concludes our Q&A session. Thank you for joining today’s first quarter 2022 earnings call. We hope you have a great day.